Sonja Wärntges: Yes. Good morning, ladies and gentlemen. Also from my side, a very warm welcome to Branicks 2023 Nine Months Results Conference Call. Today, as usual, I'm joined by my colleagues from Accounting and Investor Relations. We will give you a short presentation of our results and highlights for the first nine months, followed by a Q&A session. Overall, also in the third quarter, we were still facing a challenging market environment. Especially the transaction activity remained affected by the low macroeconomic outlook and the interest rate environment in Germany. Apart from the individual transactions, there was still little movement in the third quarter. Expectations for a full recovery of the transaction market are now focusing on 2024. Despite this difficult environment, we made further progress on our path in the third quarter and performed well operationally. I will give more detail on the development of the individual and key figures in a moment. First, I would like to give you an update on the action plan we presented to you in the half year conference call in August. We are working intensively on the specification and implementation of all elements of our Performance 2024 action plan and we are making progress step by step. We look back on a successful financing track record, and were able to demonstrate this once again by repaying the €150 million bond, 18/23 as planned. In the light of the challenges involved in further reducing our leverage, we are working on all available options to improve our financial structure and strengthen our liquidity position. And as already mentioned, the transaction market continues to be characterized by uncertainty. Nevertheless, we have been able to realize disposals year-to-date, which have led to a positive LTV effect in the third quarter. We are also in advanced talk for further disposals. At the end of September, the LTV ratio stood at 56.9% as a result of the sales that were already completed. This is a slight improvement on the previous quarter with a value of 57.6%. Our operations were driven by the positive letting performance. We are seeing unchanged and continued strong demand for logistics space as well as robust office letting. We have let 17% more space than in the previous year. And we are also seeing positive developments from rent indexation, resulting in a like-for-like rental growth of 6.8%. With regard to the upcoming year-end valuation, we can confirm our expectations of minus 4% to minus 7% after receiving the first valuation indications from external appraisers. In Institutional Business, we achieved a partial equity placement of €10 million for the so-called Offenbach Unite property in the reporting period. Our forecast remains also currently on the active portfolio management of the almost €10 billion in assets under management in the Institutional Business. An important milestone of our Performance 2024 action plan is the reduction of our operational expenses from next year onwards. In total, we expect to reduce our OpEx by 5% to 10% versus this year. Ladies and gentlemen, as usual, I would like to give you a snapshot of our financial profile as of balance sheet date. As announced in our last conference call, we have repaid roughly €200 million of the so-called bridge loan in July. The repayment of the remainder of the bridge loan is on top of our agenda as this is the most expensive financing in place. This is also reflected in the average interest rate of 3% overall and 4.8% for 2024 only. But also for most of the other maturities in 2024, we are in negotiations with banks and investors regarding a mixture of repayment and refinancing via new debt instruments. Overall, we target to reduce our leverage through disposals in the midterm. The covenants of our green bond maturing in 2026 have sufficient headroom. While we see some pressure on the increased interest costs and lower fee income on our bond ICR with coverage of 2.3x, we are still comfortably above the threshold of 1.8x. According to our business plan, we expect the stabilization and turning point for this metric in 2024. The bond LTV will also benefit from the equity release of our disposal, thereby mitigating the expected negative effect from the portfolio devaluation. Let's now take a brief look at the results of our real estate platform in the first nine months. As already mentioned, our letting performance remained strong. And our teams once again performed exceptionally well. The letting performance of the Branicks platform in the first nine months rose by 17% year-on-year to 346,100 square meters. In total, as was under management with €13.9 billion were slightly down by 4%, mostly due to disposals, which became effective in the course of the year. Our Commercial Portfolio saw a decrease from €4.5 billion, down to €4 billion, which was a direct result of the disposal activities year-on-year. The Institutional Business was also affected by the end of larger property management mandate. Like-for-like, the rental income rose by 6.8% for the entire portfolio, both in the Commercial Portfolio with a plus of 3.5% and in the Institutional Business with a plus of 8.3%. Rent increases were realized primarily through indexation. As of today, only 1.2% of the total annualized rental income would expire in 2023 if these contracts are not launched. Roughly 70% of annualized rental income has a lease length until 2027 and longer. For larger expiries in 2024 and 2025, we already proactively started discussions with our tenants. On our next slide, let me highlight the development of our main income streams. As expected, on the one hand, there was a strong increase in net rental income due to the takeover of VIB and the like-for-like growth of our rental contracts. On the other hand, we saw a sharp decline in the real estate management fees due to the still muted transaction market. Therefore, our recurring income on the platform was slightly higher year-on-year. And the share of recurring income in relation to the total income rose to almost 100% in the first nine months. From the total of €33.3 million of real estate management fees, €0.2 million were generated from transactions. In addition, we generated income from associated companies of €4.5 million, which is below the previous year result of €18 million. And this is mainly due to the sale of a joint venture investment for €10.1 million in the prior year period. Let's take a closer look on the development of the FFO year-on-year now. The rental income saw a strong increase of €17 million. As previously mentioned, this was due to like-for-like rental growth of our Commercial Portfolio and the VIB consolidation. Also, the recurring management fees saw an increase of €6.2 million, but couldn't compensate for the decline in transaction related fees, which led to a negative effect of €29.8 million. The net interest result was down by €27.2 million, hereof €15.3 million was due to the VIB consolidation and the refinancing activities and €11.9 million was due to the unhedged interest costs for the VIB bridge. Our OpEx, excluding the VIB transaction costs of the prior year, were slightly improved by €0.4 million. This was despite the fact that in the third quarter, we had one-off admin expenses for IT security checks and moving, our headquarter in Frankfurt into new premises. All in all, this resulted in FFO of €33.1 million for the first nine months of this year. Ladies and gentlemen, as usual, I'm concluding my presentation with a final remark on our guidance for the current fiscal year. We confirm the recently updated guidance numbers as of today. Our focus during the next weeks until year-end is on achieving further disposals in the light of our repayment and deleveraging targets. Before I'm ending my presentation now, I would like to say thank you to Peer, who has been our Head of Investor Relations and Corporate Communications for a long time and will leave the company end of the month to take on new challenges. And also Max will leave end of the year. So I would like to take the opportunity to say thank you to both for their long-term engagement at Branicks. I wish you all the best for your next steps. I'm also happy to announce that with Jasmin Dentz, we have found someone with prudent IR expertise to take over the Investor Relations responsibilities at Branicks. Jasmin has a very long experience in this business and a very warm welcome to her. Ladies and gentlemen, thank you for taking the time to join our conference call today. We are now happy to answer your questions.
Operator: [Operator Instructions] So the first question is from Stefan Scharff.
Stefan Scharff: Good morning, Sonja. Good morning, gentlemen. The question is about Slide 3 of your presentation. You mentioned LTV covenants and that would be challenged by expected portfolio devaluation, but stabilized by transferred disposals. Perhaps you can say a bit more here.
Sonja Wärntges: Stefan, thank you for the question. So yes, as I said, we expect that we will do some disposal until the end of the year, so therefore, the LTV will go down, so to say. And yes, that's all I can say at the moment. So we are in the latest discussions on this disposal. So we expect them to come, end of the month, beginning of December and this will be reflected in the LTV then.
Stefan Scharff: Okay. Okay. Perhaps you can also give us an update on the trading activities. You did some trading. But it was not too much until now, I would say. So it has to do with the challenging market environment. But what might we expect to come in the last six weeks of this year and what might perhaps come at the earliest in the first quarter next year?
Sonja Wärntges: Yes. So we do not change our guidance. And we expect to come the trading activities, as you said, as guided. As I said, we are in close discussions with some NOIs on hand. And if there is nothing especially happening, they will come until the end of the year. Whether the liquidity comes or not, it's always the question. Yes, it depends on the communities and so on. But the signing, I have no doubt that they will come as on time. Stefan, and so the developments during the year, and since years, there's always the last quarter where we did most of the transactions. And I think it's also this year that also we, as the potential buyers will close or want to close before end of year 2023.
Stefan Scharff: Okay, okay. And what is your general impression about the office market? You had some good letting success and you could increase your letting performance like-for-like. What is your impression about the demand in the business hubs in Germany? And what is your impression about the square meter rents and where could they develop next year?
Sonja Wärntges: Yes, that's a very good question. So starting with the letting side. As said, we are in a very good shape on an operational basis, especially meaning letting. So we have a lot of indexations. And we are not challenged from the tenants that they will not pay the indexation. Now the inflation goes down, so don't expect indexation for next year. But we expect indexations. We plan this 2% to 4% for next year. And also if the tenants go out and we find new tenants, they pay or are willing to pay the index rents. So the rents are not going down. We also see a lot of demand on lettings, especially in the areas like here in Frankfurt in one area, so to say, but also on the other hand, in suburb areas. So we do not see the letting questions going down, so to say. The transaction markets are very special, especially in the office market, where we have office buildings in trading, so to say. And we expect some of them to come until year-end, as I said some minutes ago. But these are special cases, so to say. It's not a common market where you bring some assets on the market and you have some bidders and then you have transaction market and comparables. It's very special and it's a very deep negotiations and especially only for experts. I would like to say to know the market and to know who is a special buyer, so to say, at the end of the day. I cannot say more now. But we will talk about this when we have done the signings and then you will see what I mean, yes. But it's not a market, so to say. I think that will come back because what we hear now from other - yes, other markets by name one so to say, is that they also hear that there is more traction, especially from foreign investors from outside Germany. But I don't think this year; it will come second quarter, second half year next year.
Stefan Scharff: Okay. So also from our side, all the best to Peer and Max for the future. Bye, bye.
Sonja Wärntges: Thank you. Bye.
Operator: So the next question comes from Andre Remke. The floor is yours.
Andre Remke: Yes, good morning, Sonja, and Max and Peer. Thanks of the presentation. A couple of questions from my side. Sonja, you mentioned possible options to reduce debt even further. It doesn't boil down only to the point of disposals? Or could you be so kind to elaborate a bit about other opportunity you have in mind.
Sonja Wärntges: Good morning, Andre. As I said in the presentation, we are working on different streams and we are working on them. We are not only elaborating them. So at the end of the day, it's disposals because it's for the goal to reduce the leverage and to bring the liquidity in. But on the other hand, we are also working on plans to refinance and to bring liquidity in other ways, and all possible ways, we can imagine so that we are secured on the liquidity side, so to say. We are in deep discussions here. And we are working on all these streams. But at the moment, I cannot say what option we take at the end of the day. But it's all about to develop options and to be prepared that we can - yes, that we have secured an option that we can finalize them.
Andre Remke: Okay. And second question is concerning your mentioned advanced talks on further disposals. Could you indicate a potential volume here? Are you within the range of €300 million to €500 million given in your outlook? And would the disposal come at similar discount to book value as you are expecting for the year-end valuation, i.e., 4% to 7%?
Sonja Wärntges: Yes. So as I said, we stay with our guidance. So this is the range we expect for the end of the year. Until now, we have for the Commercial Portfolio €120 million done roundabout. So at the end of the day, we expect €250 million to up to €500 million in total by end of the year. And as also said, we expect the signing and whether the liquidity comes until end of the year. We have - this is not in our hands, so to say. And that's the guidance and that's our target. And as also said, it will be a mix of office and logistics. As such, we see more interest on logistics side. It's a broader basis of investors who want to invest in logistics. We have also said in our last call, there is a spread of discount. So, on the one hand we have sold an asset nearly at market value. On the other hand, we have bought an asset with a higher discount because it was more or less developing asset - efforts with a lot of CapEx. And this is also the case here for the assets we have in place and we want to sell until end of the year. These are very special cases. And yes, we are still in discussions. So I cannot talk a lot about prices and discounts. But at the end of the day, it's a mix of both of that.
Andre Remke: And as those [technical difficulty] otherwise on - is it - sorry, lots of question. But I have another one. On your valuation outlook of 4% to 7%, is this on the Commercial Portfolio only or also for the €10 billion in the Institutional Business?
Sonja Wärntges: No, the outlook is for both of our segments. So it's nearly the same, so to say. For the Institutional Business, we are - we have the accounting of the fair value. So we have evaluations during the year depending when the asset were sold, so to say. So overall, we have there until now, a decrease of around about 4% during the year. And we don't think that this will change with the upcoming evaluations. And therefore, also we expect for the Commercial Portfolio, something around about 4% to 7%. So we have got the first impression, but this is our some efforts and we are still in the evaluation phase. So we stay with our comments we made on this middle of the year.
Andre Remke: Yes. Thank you. And coming back to your disposals and the liquidity, which may be only kick in beginning of next year. What does it mean for your bond LTV and courses based on the year-end effective balance sheet? Would you be - still have enough headroom here, having in mind the 4% to 7% devaluation?
Sonja Wärntges: Definitely. So that we are focusing very closely on our plans and our forecast and also the covenants we have. And be sure that we have this in mind and that we planned this very closely. And so as I said in the presentation, we have no doubt at the moment that we get this covenants done. And we have enough headroom also if one or the other closing of the trading transaction will not come this year. But as now, we see the signing coming and also the closing for this year - for end of the year.
Andre Remke: Excellent. Thank you Sonja, Max and Peer, thank you from my side also over the last couple of years. Good luck.
Sonja Wärntges: Thank you.
Operator: So the next question comes from Markus Schmitt. The floor is yours.
Markus Schmitt: Thanks for taking the questions. I have a couple. First one, on your secured LTV. I think this increased quarter-on-quarter. Maybe you can explain the reason here. And in the last quarter, I think you said that left unencumbered assets are very small for Branicks. But you have secured LTV of only 29% in the LTV of I think 54%. So how can it be? That's my question that there are no encumbered - unencumbered assets left. I mean it's still something I'm a bit puzzled on. I think you need to take out the NAV of the Institutional Business from the denominator. But even then there is a huge gap for me - that's the first question, and then I have two additional.
Peer Schlinkmann: Thanks, Markus. Peer speaking. Yes, thanks for the question. As already mentioned, this is due to the methodology on how you calculate the LTVs under the bond documentation. So maybe we can go through it after the call and where the differences are, on - especially on secured LTVs, how they are calculated.
Markus Schmitt: Yes, that includes a little bit huge [indiscernible] which I don't understand, but I'd like to maybe more on this. The second question is on your ICR, which is more important than the LTV because it's maintenance based. When you internally model the next quarters, how close do you get to the minimum level of 1.8x because you said you expected stabilization in '24, maybe on the back of a better transaction market and which gives you a tailwind. But when I annualized the Q3 EBITDA, when I get to the 1.8x minimum levels quite close. So how comfortable are you that you will not breach that ICR covenants?
Peer Schlinkmann: Yes. Thanks also. As Sonja mentioned, we have a close look on this and how it develops, especially in Q4. As we noted, this is calculated on the basis of the last four quarters. But I can assure that we will stay above the 1.8x threshold here. Even if it will go down again in Q4 compared to what we see now in Q3. But yes, it will stay above the 1.8x threshold, yes.
Markus Schmitt: Okay. And in fact the second question also that debt due within the next, let's say, 12 to 18 months will probably be refinanced at a higher interest rate. I mean you do that sensitivity analysis when you calculate the ICR, do you?
Sonja Wärntges: For sure. Well, as said, we have different streams, so to say, to prepare options. And at the end of the day, ICR and the covenant sort of bonds have the highest priority. So we have this in a very close shape so to say.
Peer Schlinkmann: And as we look at here for the ICR covenants, definitely the payback of the bridge loan here, because the high cost of debt associated to that bridge loan. And if we're going to pay that down through the disposals in the liquidity we generate here, then it would be definitely a turning point in the ICR.
Markus Schmitt: Okay. Okay. And maybe to address this point regarding refinancing and maybe opening the box of Pandora. Is the Institutional Business an option for you to sell, to manage debt maturities or is that absolutely not on the table?
Sonja Wärntges: It's not on the table at the moment.
Markus Schmitt: Okay. Thank you very much.
Sonja Wärntges: Thank you.
Operator: Now the next question is from Manuel Martin. The floor is yours.
Manuel Martin: Yes. Thank you. Hello Sonja. Yes. Two questions from my side. One follow-up question on the outlook for 2023, the FFO outlook. So it's still €50 million to €55 million. Just to understand it, do I understand it correctly that you expect in Q4 an acceleration in the - in fees from real estate management to reach the guidance or how can I understand that?
Sonja Wärntges: Yes. That's right. Because as you see in our guidance, we have also a guidance for our management fees and we have not changed this. So we expect most of the fees coming until the end of the year. This occurs that we finalized some things here and we'll be able to account for it. And therefore, we have no doubt that we will reach this as well as the FFO guidance.
Manuel Martin: Okay. Okay. Does this have to do with - I think there were some placement of fund participation and part at VIB assets. I can't remember very well. Maybe you can give me some color on that. Is that including that topic?
Sonja Wärntges: This is mainly driven by development fees and transaction fees. So at the end of the day, it's also a mix. And as said, we are in disposals also in the Institutional Business. We are working on two disposals here, finalizing at the end of the month, I think. And on the other hand, we have some developing fees and management fees also coming until the end of the year.
Manuel Martin: Okay. Thanks. Last question from my side, maybe a bit out of the box. We learned that we were signing for insolvency, any implications for your portfolio or a general opinion on this co-working topic?
Peer Schlinkmann: Manuel, thanks for the question and I really expected that one to be honest today. But again, I 100% assure you that - this is not a tenant in our Commercial Portfolio and also not in the Institutional Business segments.
Manuel Martin: Okay. All right, thanks Peer and Max also all the best from my side. Thanks.
Peer Schlinkmann: Thank you, Manuel.
Operator: And the next question comes from [indiscernible]. The floor is yours.
Unidentified Analyst: Hi. Thanks very much. I had two questions. The lines have been stuck here, sorry. In terms of your commentary and your guidance with regards to transactional fees, it looks like you're going to have a big pickup in Q4, that's great. I just want to get a better sense of how that comes down to your EBITDA then. Can you maybe give us a split of what you expect your EBITDA to be from an Institutional versus the initial Commercial Portfolio?
Peer Schlinkmann: Well, I mean, if you look on the guidance and what we've achieved by Q3, especially in this Institutional Business segment, you can see that the recurring income here is, around €11 million per quarter. So an additional €11 million, you can expect in the Q4 just from the recurring business and doing the asset and property management for our third-party clients. So this adds up to around €44 million-ish. And if you look on the guidance number, which is around €50 million to €55 million in total volume management fees, you can see the remainder has to come then from transaction-related fees here.
Unidentified Analyst: Okay. And then how should I think about going forward, you're essentially seeing a bounce in H1 next year in the transaction and kind of the investment markets. Are the Institutional Business is clearly going to be lifted, while you're selling from your Commercial Portfolio? And specifically, maybe around your recent APRA indexation, and obviously, I'm very aware that you need to have in excess of 85% of your EBITDA coming from your Commercial Portfolio, which you're now selling and your Institutional Business is now growing quite rapidly. So does that put you at risk there?
Peer Schlinkmann: Yes, thanks for the question, and we're also closely looking at that. And we're happy to be in the APRA Index and also our goal is to stay in that index. And if I remember correctly, the EBITDA threshold here is 75% or 85% to stay in the index. So even that we're seeing Commercial Portfolio coming down from disposals, also then the recovery in the Institutional Business. We expect when the transaction markets will pick up again. We still see that from the numbers in the first planning we have for 2024 that we will also stay in the index next year. And yes, that's we see so far.
Unidentified Analyst: And just to confirm the EBITDA you're accounting for VIB is on a fully consolidated basis, i.e., if you were to start some [technical difficulty] you might lose that, ability to fully consolidate?
Sonja Wärntges: Yes. Yes.
Unidentified Analyst: Thanks very much. Very helpful.
Sonja Wärntges: Thank you.
Operator: [Operator Instructions] And there is one question from [indiscernible]. The floor is yours.
Unidentified Analyst: Hi. Thanks for the call. I was wondering how you can benefit from the asset disposals on the VIB level that you're talking about, given that it's easier to sell logistics properties in this market. How can you upstream that liquidity to use it for debt repayments.
Peer Schlinkmann: Yes, thanks for the question. I mean this has been also a topic in the past and we thought about it. You may have read in the news that we have grant or that VIB has a granted a loan to DIC to also use that funds to pay down €200 million of the bridge loan. So in the case, we're seeing also selling of logistics assets on the VIB level. If something we might think about it again. But to be honest, quite frankly, I mean, if we see that in the next month happening, the disposals and the liquidity on - as well on credit level and VIB level, we have to decide then how we can use it then for paying down debt.
Unidentified Analyst: Would it considered another loan from the VIB up to the Holdco?
Peer Schlinkmann: Please understood that we are checking, of course, all options like in the past and also in the future. But I can't comment on this is as this is really something we are going to do, yes. And the decision lies definitely on VIB management level and not Branicks level.
Unidentified Analyst: Okay.
Operator: And the next question comes from Philipp Kaiser. The floor is yours.
Philipp Kaiser: Thanks a lot. Just one question, last one for my side. It's more like a clarification. So you have already calculated like €45 million, €44 million should come from the recurring management fee for the full year. So the €6 million to €11 million fees left with regard to your guidance will come from transaction performance fee, which are linked to those two potential sales of assets in the Institutional Business. Am I got that right?
Sonja Wärntges: Yes, you have got this right.
Philipp Kaiser: Peer and Max, thanks a lot for your service. All the best from my side.
Sonja Wärntges: Thank you very much.
Operator: Thank you for your question. There are no further questions. So I hand over back to Sonja Wärntges.
Peer Schlinkmann: Hi, this is Peer speaking again. Also a big thank you from my side and Max, thanks to the community. And yes, looking forward to your questions. We are available all the day. And yes, thank you again, and bye-bye.
Sonja Wärntges: Guys thank you.